Operator: Hello, ladies and gentlemen. Thank you for standing by for NIO Incorporated’s First Quarter 2020 Earnings Conference Call. [Operator Instructions] Today’s conference call is being recorded. I will now turn the call over to your host, Mr. Rui Chen, Director of Investor Relations of the company. Please go ahead, Rui.
Rui Chen: Thank you, Rachel. Good evening and good morning everyone. Welcome to NIO’s first quarter 2020 earnings conference call. The company’s financial and operating results were published in the press release earlier today and are posted at the company’s IR website. On today’s call, we have Mr. William Li, Founder, Chairman of the Board and CEO; Mr. Steven Feng, Chief Financial Officer; Mr. Stanley Qu, VP of Finance. Before we continue, please be kindly reminded that today’s discussion will contain forward-looking statements made under the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties. As such, the company’s actual results may be materially different from the views expressed today. Further information regarding risks and uncertainties is included in certain filings of the company with the U.S. Securities and Exchange Commission. The company does not assume any obligation to update any forward-looking statements except as required under applicable law. Please also note that NIO’s earnings press release and this conference call include discussions of unaudited GAAP financial measures as well as unaudited non-GAAP financial measures. Please refer to NIO’s press release, which contains a reconciliation of the unaudited non-GAAP measures to comparable GAAP measures. With that, I will now turn the call over to our CEO, Mr. William Li. William, go ahead, please.
William Li: Hello, everyone. Thank you for joining NIO’s 2020 Q1 Earnings call. In the first quarter of 2020, NIO delivered an aggregate of 3,838 ES8 and ES6. Starting from April, our sales and deliveries have witnessed a solid recovery. We delivered a total of 3,155 ES8 and ES6 in April, representing a robust 105.8% month-over-month growth. We are extremely proud that since October 2019, new ES6 has outperformed others and ranked as the top-selling electric SUV in China auto market for 7 consecutive months, it is the only electric vehicle among the top 10 best-selling luxury midsized SUVs. Due to the impact of COVID-19, the overall passenger vehicle sales in China has slumped by 41% year-over-year yet our Q1 deliveries decreased only by 3.8% compared with the same period of 2019, our bucking the trend performance is mainly attributable to the end-to-end direct sales business process and the cloud-based service system. Our products and services systems have withstood the arduous test during this unprecedented outbreak and won wide recognition from the market and users. On April 19, the all-new ES8 commenced deliveries to users. It boasts over 180 improvements with the NEDC range reaching up to 580 kilometers. With further enhancement and its comprehensive competitiveness the all-new ES8 has received rave reviews across the board from the users and media after the deliveries. As the novel coronavirus outbreak has been brought under control in China, since April, our business operations have started to return to normalcy in every aspect, including supply chain, manufacturing, sales, services and R&D. The supply chain and manufacturing have gradually recovered from the pandemic. In the meantime, our R&D activities are picking up speed, and the off-line sales network is also bouncing back. Starting from April, we have been continuously exploring innovative sales channels leveraging the advantages of both online and off-line platforms. In 2020, we have opened 44 new NIO Spaces in 24 cities. So far, we have opened 22 NIO Houses and 92 NIO Spaces in 76 cities around China. We will continue to open more efficient and flexible NIO Spaces to increase our off-line touch points and community presence. Since late April, our daily new order rate has already returned to the level before the outbreak. In light of the normalization of supply chain and production, we are confident to deliver 9,500 to 10,000 ES8 and ES6 in total in the second quarter, reaching all-time high in our quarterly deliveries. As for the gross margin, along with the strong recovery of quarterly deliveries, reduction of the battery pack and other comp costs, optimization of manufacturing expenses and efficiency and the steady rise of the average selling price, we expect our overall gross margin to substantially improve and the vehicle gross margin to reach over 5% in the second quarter this year. After a series of restructuring and operational optimization initiatives across the company since 2019, our overall efficiency has been significantly improved. In the first quarter 2020, the company SG&A has dropped by 45.1% from Q4 2019 and the operating loss has decreased by 44.4% quarter-over-quarter. In the second quarter, the SG&A and R&D expenses will increase to some extent. But considering our gross margin improvement, we are still confident to reduce operating loss. Next, I like to share with you the latest progress on two important tasks in the second quarter. First, the progress on the innovative business model of a battery as a service, it is a widely acknowledged that we have always been working on the chargeable, swappable, and upgradable battery service model based on the separation of vehicle and battery. That can lower the initial purchase price and enable users to continuously upgrade the battery and enjoy better power replenishment experience. NIO owns more than 1,200 battery swap-related patents on the vehicle battery pack, battery swap stations, and cloud service solutions. To date, we have deployed 131 battery swap stations in 58 cities nationwide and completed over 500,000 battery swaps accumulatively. NIO’s innovative business model based on the separation of battery and vehicle has won wide recognition from the users and the industry. In April, the Ministry of Industry and Information Technology, the Ministry of Science and Technology, the National Development and Reform Commission and the Ministry of Finance promptly issued the latest new energy vehicle subsidy policy, which clearly stated to encourage the development of battery swap technology and innovative business models based on the separation of battery and vehicles. With the new policy, NIO is the only premium EV brand with products priced over RMB300,000 yet still receiving the national EV subsidy. Based on the latest published policy, we will speed up the development of best products and service solutions which are planned to release to users in the second half of this year. As the time goes on, we believe our competitive edge enhanced by best will become more self-evident. Last but not least, I would like to share with you the progress of NIO China project. On April 29, NIO entered into definitive agreements with a group of strategic investors. Under the agreement, NIO will inject its core businesses and assets in China into NIO China including vehicle research and development, supply chain, sales and services and NIO Power. The strategic investors will invest in aggregate of RMB7 billion into NIO China. In addition, NIO will invest RMB4.26 billion into NIO China. Upon the completion of the investment NIO will hold 75.9% of controlling equity interest in NIO China, while the strategic investors will collectively hold the remaining 24.1%, and NIO China will be a subsidiary of NIO. The strategic investment in NIO China is another important milestone of NIO for its long-term growth. With investment, NIO will have sufficient funds to support its business development and to open RMB financing channels in order to enhance its leadership in products and the technologies of smart electric vehicles and offer services exceeding users’ expectations. The launch of NIO China headquarters in Hefei will enable NIO to improve its operational efficiency and to sustain its growth and competitiveness in the long run. The transactions are proceeding well according to plan. We are fully confident that it will be closed before the end of June 2020. Thank you for your support. With that, I will now turn the call over to Steven to provide the financial details for the quarter. Steven, please go ahead.
Steven Feng: Thank you, William. I will now go over our key financial results for the first quarter of 2020. And to mindful of the length of this call, I encourage listeners to refer to our earnings press release, which is posted online for additional details. Our total revenue in the first quarter was RMB1.37 billion or $193.8 million, representing a decrease of 51.8% quarter-over-quarter and a decrease of 15.9% year-over-year. The decrease in total revenues quarter-over-quarter was due to decrease of vehicle deliveries during the COVID-19 outbreak in China. Our total revenues are made of 2 parts: vehicle sales and other sales. Vehicle sales in the first quarter were RMB1.36 billion or $177.3 million, representing a decrease of 53.2% quarter-over-quarter and a decrease of 18.2% year-over-year. Vehicle sales accounted for 92% of total revenues in this quarter. Other sales in the first quarter were RMB115.4 million or $16.4 million, representing a decrease of 29.2% quarter-over-quarter and an increase of 21.2% year-over-year. The decrease in other sales over last quarter was mainly attributed to decreased revenues derived from the home chargers installed and accessories sold, which were in line with the decreased sales – vehicle sales in the first quarter of 2020. Cost of sales in the first quarter was RMB1.54 billion or $217.4 million, representing a decrease of 50.4% quarter-over-quarter and a decrease of 16.8% year-over-year. The decrease in cost of sales compared to the fourth quarter of 2019 was mainly driven by the decrease of delivery volume of the ES6 and ES8 in the first quarter of 2020. Gross margin in the first quarter was negative 12.2% compared with negative 8.9% in the fourth quarter of 2019 and negative 13.4% in the same quarter of 2019. The decrease of gross margin compared to the fourth quarter of 2019 was mainly driven by the decrease of vehicle margin in the first quarter of 2020. More specifically, vehicle margin in the first quarter was negative 7.4% compared with negative 6.0% in the fourth quarter of 2019 and a negative 7.2% in the same quarter of 2019. The decrease of vehicle margin compared to the fourth quarter of 2019 was mainly driven by the decrease of production and delivery volume of ES6 and ES8 in the first quarter of 2020. R&D expenses in the first quarter were RMB522.4 million, representing a decrease of 49.1% quarter-over-quarter and a decrease of 51.6% year-over-year. The substantial decrease in research and development expenses was primarily attributed to the COVID-19 outbreak that caused the significant reduction of design and development activities. SG&A expenses in the first quarter were RMB848.3 million, representing a decrease of 45.1% quarter-over-quarter and a decrease of 35.7% year-over-year. The decrease over the fourth quarter of 2019 was primarily attributed to some one-off expenses incurred for the optimization of our sales network structure in late 2019 and the COVID-19 outbreak that caused significant decrease of marketing and promotional activities as well as the decrease of activities in business support functions in the first quarter of 2020. The decrease of R&D expenses and SG&A expenses was also attributed to the improvement of operating efficiency resulting from our operation optimization and cost control efforts. Loss from operations in the first quarter was RMB1.57 billion, representing a decrease of 44.4% quarter-over-quarter and a decrease of 40% year-over-year. Share-based compensation expenses in the first quarter were RMB32.4 million, representing a decrease of 36.8% quarter-over-quarter and a decrease of 72.9% year-over-year. The decrease in share-based compensation expenses over the fourth quarter of 2019 was primarily attributed to the continuous decline in the number of employees and the impact of part of the share-based compensation expenses being recognized by using the accelerated method previously. Net loss was RMB1.69 billion in the first quarter, representing a decrease of 40.9% quarter-over-quarter and a decrease of 35.5% year-over-year. Net loss attributable to NIO’s ordinary shareholders in this quarter was RMB1.72 billion, representing a decrease of 40.5% quarter-over-quarter and a decrease of 35% year-over-year. Basic and diluted net loss per ADS in the first quarter, were both RMB1.66 or $0.23 per ADS. Excluding share-based compensation expenses and accretion on redeemable non-controlling interests to redemption value, non-GAAP adjusted basic and diluted net loss per ADS were both RMB1.60 or $0.22 per ADS in the first quarter. Our balance of cash and cash equivalents, restricted cash and short-term investment was RMB2.40 billion as of March 31st, 2020. And now for business outlook, as William mentioned, for the second quarter of 2020, the company expects deliveries to be between 9,500 and 10,000 vehicles, representing an increase of approximately 147.5% to 160.6% from the first quarter of 2020 and an increase of approximately 167.4% to 181.5% from the second quarter of 2019. The company also expects the total revenues of the second quarter of 2020 to be between RMB3.37 billion to RMB3.53 billion or between $475.7 million to $499.1 million. This would represent an increase of approximately 145.5% to 157.6% from the first quarter of 2020 and an increase of approximately 123.3% to 134.3% from the second quarter of 2019. This business outlook reflects the company’s current and preliminary review on the business situation and market condition, which is subject to change. Now this concludes our prepared remarks. I will now turn the call over to operator to facilitate our Q&A session.
Rui Chen: Operator, let’s start the Q&A session, please.
Operator: [Operator Instructions] Your first question comes from the line of Tim Hsiao from Morgan Stanley. Please ask your question.
Tim Hsiao: Hi, William, Steven, Jade, I’m Tim. Congratulations on the solid progress and thanks for taking my questions. So just two quick questions, first is about Volkswagen strategic move of purchasing a big stake in JAC. Although we know that deal might take place at parent level and shouldn’t have any immediate impact to your current partnership with JAC, but were you concerned about the long-term collaboration with JAC or that would urge NIO to reconsider the capacity expansion plans or alternative manufacturing partner? That’s the first question. And my second question is about our agreement with the Hefei investors. According to the details shared, I think the NIO-Hefei needs to apply for IPO within four years and complete that deal within five years after the initial investment. So could you please share a little bit more color regarding the potential listing with the current progress, the updated schedule and any expectation from you or any thoughts? That’s my two questions. Thank you.
William Li: Thank you for your questions. Recently, we do hear a lot of market speculations about the in-depth cooperation between Volkswagen and JAC. To be honest, we don’t really know much about the details. Although JAC has also issued some comments about the speculation, but if we are going to have more automakers located in Hefei I think this is a good news for us because this is going to be beneficial for the development of supply chain and production capacity in Hefei. Our cooperation with JAC is a win-win corporation. So if JAC is going to work very closely with Volkswagen, which we’re not really sure, but if this is the case, we think this is not going to affect our manufacturing. If they’re going to work very closely together, we think this is very beneficial for our cooperation with JAC. In terms of the question on the NIO China, from the strategic perspective, NIO China opens the RMB financing channel for NIO. So we’re very happy to enter the definitive agreements with a group of investors. According to our preliminary research, we believe that NIO China meets the requirements to go public in China, but we will make this a dynamic decision based on the market situation. Our strategy is NIO Inc. is going to hold the controlling stake in NIO China for the long-term. According to our previous press release, NIO Inc. has the redemption rights and the warrants on the NIO China projects. So overall speaking NIO Inc. can have the long-term controlling stake in NIO China. According to our previous annual report, we have the right for the redemption and the warrants on the NIO China.
Jade Wei: Actually, if you refer to the annual report that the company filed in early May, we have filed the investment agreement for the strategic investment in NIO China. According to that, NIO Inc. has the warrant to purchase more shares for NIO China. And also, we have the repurchase right of the shares for the strategic investors for partial of their shareholdings in the future.
William Li: Yes, thank you Jade. Tim Hsiao, thank you.
Tim Hsiao: Thank you.
Operator: Your next question comes from the line of Bin Wang of Credit Suisse. Please ask your question.
Bin Wang: Thank you. Hi, everyone. I actually got three questions. Number one about the order, if you recall in the last call you already provided orders in the past 30 days. So right now can you provide one now in the past 30 days how much order you received? And what’s the order flow? Because there was no vehicle deliveries in the end of April, just the last week, you got 2,000 orders. That’s why I want to get a number what’s the order in the past 30 days? That’s number one. Number two, actually, is about gross margin in the second quarter. You mentioned vehicle gross margin would go to about 5%. Can you provide a guidance for the overall gross margin, not just the vehicle but also including everything, with better gross margin overall will we turn positive in the second quarter? That’s my second question. And my last question about the potential risk that came from the U.S. delisting. Think about recent China-U.S. relation, naturally had some news flow about all the Chinese companies having delisting risk. So do you have any alternative, let’s say, to list in Hong Kong or actually, your NIO China may have prepared for stop the IPO? And what are your – I mean, alternative plan if you have to be delisted in the U.S.? Thank you.
William Li: Thank you for your question. Actually, since the late April, our order growth rate has returned to the level before the outbreak. Our current order growth momentum is actually quite strong for the last 30 days because we had the live streaming event and other activities. So at this moment, I cannot disclose the specific number of the orders we received in the last 30 days. But what I can say now is that the order growth momentum is very positive. In terms of the gross margins, we believe the vehicle gross margin can be over 5%. But for the overall gross margin because we have implemented a series of efficiency improvement and cost control measures, so our estimation is it should be over 3%.
Steven Feng: Thank you for your question. I would like to answer your question about the impact of the new set of deal on NIO Inc. We have noticed that a few Chinese companies have achieved agility in exchanges of the U.S. and UK, such as Alibaba. Looking forward, we will actually and closely monitor the changes and trends of the markets and adopt plans that best serve the interests of NIO Inc.’s investors and shareholders. I think that’s our comment to your question.
Bin Wang: Okay, thank you. I have a very quick follow-up on first one. Can – right now, you actually undersupply or actually is there a overcapacity? So which means there is so much demand, what’s the maximum monthly supply volume? What’s the number, maximum capacity right now?
William Li: In fact, a lot of users or actually many users have been waiting for the deliveries. For example, users of the ES8 and ES6, it will be even longer for the users of the ES6 – EC6. In the Hefei plant under one shift, the monthly production capacity should be around 4,000 units with 15 GPH and this means that the workers will need to work around 10 hours every day. But because some supply chain partners in our supply chain, they have some constraints on the production capacity, which means the production capacity for those supply chain partners is around 3,400 to 3,500. So although we still have some capacity in our own Hefei plant, but the overall capacity in the supply chain is limited. We understand that many users have been waiting for the vehicle deliveries. That is why we would like to boost the capacity in the overall supply chain system, which means our partners will also need to increase their production capacity. This requires systematic efforts across the supply chain. According to our plans, around August and September, we should be able to increase the monthly production capacity to around 4,500 to 5,000. Overall speaking, we are quite conservative in terms of the production capacity increase. But we would like to strike a balance between the order growth and our production capacity increase, considering the strong momentum on the demand side.
Bin Wang: Okay, thank you.
Operator: Your next question comes from the line of Lei Wang of CICC. Please ask your question.
Lei Wang: Thanks for waiting. Thanks Steven. This is Lei Wang speaking from CICC. Congrats on very strong deliveries. I have two questions, if you don’t mind. So we have achieved a historically low SG&A and R&D expenses in the first quarter. That’s mainly attributed to the virus outbreak, I believe. Can we have your guidance on the operating expense for the next few quarters? That was the first question. And the second question is about the deal again because as the last day of the first quarter, we have cash and equivalents around like RMB2.4 billion, while we show just about like total RMB2.5 billion cash before June 2020. So do we need to issue new comparable bonds for issue the new private placements?
William Li: [Foreign Language]
Stanley Qu: Okay. This is Stanley. Regarding the first question, in Q1 2020, we have seen expected results from the cost control efforts, including the organization optimization and some restructuring initiatives. And expenses in Q2 and going forward, I think will increase quarter-over-quarter compared with Q1 due to more R&D and marketing activities being performed in Q2. But considering our gross margin improvements, we are still confident to reduce the operating loss, and we expect the trend to continue in 2020. Yes, that’s all for question one.
Steven Feng: Okay. So on – for your second question, yes, you’re right, we have RMB2.4 billion on our balance sheet, and we will inject RMB2.4 billion into NIO China. So first of all, we still have some cash, as you see in our balance sheet, unused from the previously, which can be injected into NIO China as part of the investment from NIO Inc. And then we will closely monitor the market and determine future financing plans to support our further cash injections. And yes, that’s all.
Lei Wang: Follow-up quick question on the OpEx because we have roughly RMB500 million monthly OpEx in the first quarter. And what’s the estimation on the absolute dollar amount for the next few quarters, like RMB700 million sounds like a reasonable one or even lower?
Steven Feng: Operating expense wise, as I mentioned, I think there will be an increase in Q2, since the more R&D and marketing activities, yes. But generally, the operating loss, I think will continue to be reduced. So the exact number…
Jade Wei: I don’t think that we are supposed to give the guidance on the absolute dollar amount of the expenses for the current quarter. But our goal is to reduce the operating loss through the gross margin gains, as well as efficiencies through controlling the operating expenses.
Lei Wang: Okay fully understood. Thanks. Thanks a lot.
Operator: Your next question comes from the line of Fei Fang of Goldman Sachs. Please ask your question.
Fei Fang: Hi, congratulations on the strong results. My first question is about vehicle margin. How would you guide vehicle margin to progress beyond second quarter’s 5%? Are we still tracking toward double-digit vehicle margin by the fourth quarter? That’s the first question for me. Second question is how many of your cars were sold in NIO Houses versus NIO Space in the first quarter and also in April?
Steven Feng: Okay. The first question about the vehicle margin, we still expect the gross margin to expect double digits in – by the end of 2020 with further decrease in bond cost, including the battery package and also sales of more products with higher gross margin and continued optimization of our manufacturing cost, yes.
William Li: In terms of the first question for the gross margin, we still would like to keep our guidance regarding the double-digit gross margin by the end of this year. At this moment, we are still quite confident to achieve this objective. With respect to your second question, I would like to say that at this moment, most of the vehicle sales happens in the NIO Houses and the online channels. This is mainly because the NIO Houses are located in those big cities. But we believe NIO Spaces are going to play a very important role in the future, especially in terms of the channel expansions in the Tier 2 and the Tier 3 cities, and it’s going to play a very bigger role in the third quarter for the channel expansion in those lower tiered cities. Overall speaking, currently, 70% of the vehicle sales are through the NIO Houses and the online touch points.
Fei Fang: That’s great. Thank you.
William Li: Thank you.
Operator: Your next question comes from line of Lee Ming-Hsun of Bank of America. Please ask your question. Lee Ming-Hsun of Bank of America, your line is now open.
Lee Ming-Hsun: Thank you. Hi William and the management team and congrats on the good results. So I have few questions. My first question is that when will you start to deliver EC6 and also decide a price? And also when will you start to ship the 100 kilowatt hour battery with your cars. And will there be any meaningful spec change, for example, like a driving range improvement and also increase of weight or overall the weight will be maintained similar level compared to your current 84 kilowatt hour model, the reason I’m asking is because I also want to know that when you start to use some more advanced cells to pack the battery to improve the battery density so that the horsepower can be maintained or even improved, even you use a bigger size battery. And my third question is regarding your cooperation with Hefei government. So besides the investment from Hefei, I believe Hefei will also give you more support from other, I think, financial aspect. So could you elaborate more on support and cooperation from Hefei government? Thank you.
William Li: Our plan is to start the deliveries of the EC6 in September and the delivery of the 100 kilowatt hour battery pack in the fourth quarter. For the battery pack, the current battery pack will upgrade within the same size. The weight will not change, but the power density will improve. In this case, it’s not going to impact on the performance of the vehicle. And this is one of the parameters and the criteria in our technology development. This is a very important endorsement to offer technical competence because within the same battery pack size, we can upgrade the battery from the 70 kilowatt hour to 84 kilowatt hour. And this year, we’re going to shift to 100 kilowatt hour battery pack. In terms of our cooperation and development in Hefei regarding NIO China, we will work together with Hefei government and other related departments to work out the specific policies. We believe we should be able to get some preferential and supportive policies.
Lee Ming-Hsun: Thank you, William. Sorry, I got one more quick question, so maybe it’s still early, but for the year-end NIO Day will you consider to launch another new product as per your previous guidance, but then the launch probably will be postponed to 2021 or 2022? So in this year-end, there is no possibility to launch sedan or other new models? Thank you.
William Li: Thanks for your question. I would understand everyone is looking forward to the NIO Day and of a new product launch. This actually proves we have a very high product development and R&D efficiency. Because starting from the NIO Day in 2017, we launched our new product every year on the NIO Day. Of course, we don’t want to break this tradition but at this moment we cannot disclose the specific details.
Lee Ming-Hsun: Got it. Thank you, William.
William Li: Thank you.
Operator: Your next question comes from the line of Jiajie Shen of JPMorgan. Please ask your question.
Nick Lai: Hi, William and Steven. Yes, hi. It’s Nick Lai from JPMorgan, thank you for taking my question. I know that we have a few minutes only left so two very simple high-level questions. The first one on the cash flow, can you walk us through on the cash flow, yes, in terms of inflow and outflow? You mentioned earlier in the first quarter, we issued roughly about $435 million CP. That’s roughly about RMB3 billion. But at the same time, for the investment in China – in NIO Inc. The first two installments due in June, we need to invest altogether RMB2.5 billion and on top of that, presumably, at each quarter, the cash burn is somewhere about RMB1.5 billion to RMB2 billion. So if you can provide some number or guidance on the quarterly cash inflow and also that will be appreciated? And should we assume with all the investment maybe in the next one year we probably don’t need to go to capital market and raise funds again. So that’s a free cash flow related question. And the second simple question is really on volume. I remember, in 2019, we had about 5,000 units of backlog order. Can you give us an update of that number by first quarter? And also 2Q, the guidance of 9,500 to 10,000 units of delivery, is the split between ES8 and ES6 similar to first quarter? Then lastly, on EC6, new model, how should we think about volume? Would it be similar or close to ES6? Thanks.
Jade Wei: Okay. So thank you for your questions. This is Jade. I’m going to answer the first question that you have. Yes, as of the – at the end of the first quarter, we did have about RMB2.4 billion as cash on our balance sheet thanks to the CPs that we have reached in the first quarter, which has supported our operating and cash needs. And also that the rest of the money that we have right now definitely can be injected from NIO Inc. to NIO China for the installment as the investment we need to make in NIO China. So as for the future plans of the cash injection, we are going to monitor the market very carefully and see what’s the best time and the appropriate method to raise the capital in the future. And we definitely will get sufficient cash to support our future business development and expansion. So that is on the cash side. And on your second question regarding the orders, I think William can answer some on that.
William Li: At this moment, we cannot disclose the specific number of the order backlog. But according to our data, the current backlog should be over 5,000, just like you mentioned. In terms of the product mix of the ES8 and ES6, as the starting price of the ES8 is CNY 110,000 more than that of the ES6. So it’s quite natural that ES6 has a higher volume compared with the ES8. But after we start the delivery of the ES8, we also need some time to ramp up the production, the sales and the deliveries to the users. According to our current data, the percentage of the ES8 and ES6 should be one two three. And this is because of the specific market segment. For the EC6 because we haven’t released the specific pricing yet, we still need some time to understand what should be the pricing strategy for the EC6 and what is our target user group for the EC6. So we will need to understand those specific information to have a clear picture for the market demand. At that time, we also need to make a dynamic decision based on the production capacity, competition landscape and our product strategy to determine the pricing. At this moment, we have received some intention orders, but because we haven’t released the pricing yet, so we cannot receive the nonrefundable orders at this moment.
Nick Lai: Yes, that’s very helpful. Thank you.
William Li: Thank you.
Operator: As there are no further questions now, I’d like to turn the call back over to the company for closing remarks.
Rui Chen: Thank you, again, for joining us today. If you have any questions, just feel free to contact us through the contact information provided on our IR website. This concludes the conference call. You may now disconnect the line. Thank you. Stay safe.
William Li: Thank you everyone.
Steven Feng: Thank you everyone.